Patricia Bueno: Good morning, and welcome everyone to the BBVA Third Quarter 2022 Results Presentation. Thank you very much for your interest. I'm joined today by Onur Genc, BBVA CEO; and Rafael Salinas, Group CFO. As in previous quarters, Onur will start reviewing the group figures, followed by Rafa who will go through the business units results. Then we will move straight to the Q&A session. And now I will turn it over to Onur.
Onur Genc: Thank you Patricia. Good morning to everyone. Welcome and thank you for joining our third quarter audio webcast. Let's dive into it as always starting with slide number three. On the left-hand side of the slide you can see our net attributable profit -- recurrent net attributable profit reaching €1.841 billion. One more quarter we are posting very strong results in our view, achieving the highest reported quarterly results ever and this number is 31% above the results of the same quarter of last year. Also as you can see this figure is much higher compared to last five years average, which stands at around €1.2 billion. These excellent results brings our earnings per share up to €0.29, 45% year-over-year growth, a higher growth rate than the net attributable profit because of the share buyback program that we have already executed. The graph on the right-hand side of the slide, it shows our capital ratio of 12.45% above our target range and well-above obviously our regulatory requirements. Slide number four. I would like to highlight that this quarter we have achieved the highest operating income ever of BBVA. As you can see we have reached for the first time a quarterly record figure above €4 billion with a quarter-over-quarter increase of 16.6% and obviously an equally outstanding growth year-over-year. Page number five. Tangible book value per share plus dividends. It continues the outstanding evolution of previous quarters closing at €7.66 per share, a 20% increase year-over-year and the 3.2% growth in the quarter. I believe this 20% year-over-year growth is one of the most impressive figures in this presentation. And regarding profitability, we continue to improve our excellent profitability metrics reaching this quarter 15% in ROE and 15.7% in ROTE. We remain clearly with these numbers one of the most profitable European banks. And we keep advancing, we keep advancing on these figures.  Slide number six. What stands out in terms of the key messages for the third quarter? First outstanding. Outstanding core revenues evolution 38.4% year-over-year growth in core revenues, supported obviously by the strong loan growth 15% at the group level and by the improvement of the customer spreads. Second, our leading efficiency ratio improving 42.9% in the first nine months of the year with again as always with positive jaws. Third, as we mentioned earlier, we are reporting the highest quarterly operating income ever. Fourth, cost of risk at 86 basis points year-to-date below both 2021 and pre-pandemic levels, thanks to very solid asset quality trends. Fifth, our capital position is comfortably above our target range as we discussed. And last. the outstanding and really the outstanding progress in key areas of our strategy, reaching new record figures with 8.6 million customers acquired in the last nine months on 2022, of which 3.3 million have been acquired in the last quarter, and €124 billion sustainable financing since 2018. Given all this, we continue on the right path to achieve our ambitious long-term targets goals that we have shared with you in our Investor Day in November 2021. Slide number seven. The P&L for the quarter, you can clearly identify the very positive evolution in all the P&L lines both in current and in constant terms. I would highlight once again the strength in the core revenues. NII year-over-year growth of 45% and fee growth of 17% in constant, which again led to our wonderful operating income numbers. And in reported net attributable profit, growth rates of 45% and 34%, respectively, again with the positive readings. Nine-month numbers, slide number eight. I would again once again highlight the very positive core revenues evolution. Core revenues very strong in the year in the quarter. But in the nine months, the strong gross income growth of 21%, obviously, coupling with the positive jaws and the solid risk metrics, it led to an outstanding recurrent net attributable profit of more than €5 billion, more than €5 billion in the first nine months of 2022. We typically do this as you know in a full year and we are achieving that in the first nine months. Slide number nine. Some light into the quarterly revenues breakdown, one of the again clear highlights in my view of the quarter. Our net interest income, increased strongly 45% versus last year and 15.3% compared to last quarter. Again, driven by the strong activity growth and the improvement in the customer spreads. The positive evolution of net fees and commissions across the board, increasing 17% year-on-year, consolidating the high figures of last quarter, despite as you all know, the negative evolution of the markets and obviously it's implication on the asset management business. Also, very strong performance in net trading income, with another quarter above €500 million, driven by the good evolution in global markets. All in all, excellent performance in gross income, 34% growth year-over-year and double-digit growth, 13.9% growth versus last quarter. And in this page looking into this page in front of me now, I particularly like the trend curves that you see in this page. As in most cases, you observe a quarter-over-quarter improvement in all the numbers, most of the numbers. The good news is that, we expect this trend to continue in the coming quarters as well. With that, I go to slide number 10, indicating our positive prospects going forward, a deep dive on the net interest income growth of Spain and Mexico. On the left side of the slide, you can see the strong loan growth, which has accelerated since last year, reaching 4.6% for Spain and 15.1% for Mexico. In the center of the slide, you can see the improvement in the customer spreads. In the case of Spain, it has strongly picked up during the third quarter. So you see the trend in the third quarter reaching 1.85%, obviously, following the recent increases in the interest rate. So, it will continue obviously in the coming quarters. And for Mexico, where interest rates have been increasing for several quarters, obviously, lending yields have a longer track record of catching up with the rate rises. And lastly on the right-hand side of the slide, you can see the resulting obviously the strong NII growth, year-over-year in both countries 6.8% in Spain and 29% in Mexico in constant euros. Again looking into the underlying trends around this, you will clearly see that this trend is here to stay. Slide number 11, we continue showing positive jaws at the group level, thanks to the good performance of gross income, growing 21.2% in the first nine months of the year versus the same period of 2021. On the other hand, costs are growing 14.5% below the blended inflation of our footprint in line with our guidance to all of you. On the right-hand side of the page, you can see our efficiency ratio, the best compared with our European peers and further improving, not only the best, but further improving to 42.9% from 45.4% of last year. Slide number 12, you can see the solid asset quality trends. Impairments, increased to €929 million in the quarter, attributable mainly to the activity growth in Mexico and the prudent approach in Turkey. As a result, cost of risk closes at 86 basis points, compares very positively with the 93 basis points recorded in 2021 and -- while comparing it with the previous years also, a very, very positive number obviously. Even in this environment -- uncertain environment, cost of risk is in line with our expectations and in line with our guidance as we have communicated with you. Just to remind you, which is to be in line with 2021, which was 93 basis points a year of a very positive reading again as compared to our historical standards. Also, I want to in this page very important highlight, the very good evolution in the rest of the asset quality indicators with the NPL flow showing very strong, very positive dynamics, particularly in the wholesale portfolio. Both the recoveries and also the repayments, the new entries, all we are seeing a positive dynamic here. So the balance -- the NPL balance is now down to €15.2 billion. And the NPL ratio is down to 3.5%. I do believe that this is one of the best news of the quarter, not only at the consolidated level, but if you look into every single geography, in all of our core geographies, NPL ratio has declined in the quarter. And in this context of declining NPLs since we have increased our impairments as we discussed naturally, our coverage ratio improves to 83%. Slide number 13 on capital, our CET1 as of September stands at a very good level, 12.45%, well above our SREP requirements. Following the waterfall, maybe a very quick rundown of the evolution of the number. First, our results generation that contributes 56 basis points to the ratio. Second, the dividend accrual at 50% payout according to the ECB mechanism as you all know, that detracts together with the AT1 coupons it detracts 30 basis points. Third, minus 16 basis points from the RWAs bucket in the context of strong and profitable credit growth. And last, a bucket of others of minus 10 basis points which includes mainly the market-rated impact, mark-to-market or held to collect and sell portfolios, the FX, a positive impact due to the final adjustment related to the share buyback program. And the positive impact in the other comprehensive income equivalent to the net monetary position value loss in the hyperinflationary economies mainly Turkey and Argentina. Page number 14, one of my favorite slides. As always, new customer acquisition. We remain focused on profitable growth. And the most and healthiest way of growing the balance sheet in our view is through growing our franchise of clients. And quarter after quarter, we continue to beat new records. We acquired 8.6 million new clients in the first nine months of 2022, up from 6.5 million customers in the same period last year and more than doubling, more than doubling the client acquisition that we had five years ago. At that time, the digital acquisition by the way was only 7% of total customer acquisition. And now it's 54% which is the key drivers -- one of the key drivers of this great number. Slide number 15. We are acquiring these customers that we wanted to show you a deep dive on our new customer engagement evolution in Spain and have more than 70% of new clients become target or primary clients in six months. As you can see on the column on the left-hand side of the slide new client's product history it starts mainly with account and debit cards. However, just after six months, the number of products acquired by customers not only increases by 15%, but also it enriches, it enriches with other products like payroll, direct debit, lending products thereby increasing engagement and thereby increasing profitability again making them primary clients. 70% in six months become primary clients. Slide number 16 another strategic priority. We have raised again our sustainable business goal to €300 billion by 2025. This was originally €100 million then we raised it to €200 billion. And now we are raising it to €300 billion by 2025, which positions us obviously among the banking leaders worldwide in this commitment towards sustainability. We have already mobilized €124 billion since 2018. And in this quarter only, we have done more than €13 billion continuing the very strong positive trend that we have on this. Additionally on the right-hand side of the page, we recently published our commitment of portfolio alignment. Also we already had some, but we added oil and gas sector into this advancing in our sustainability goals, while working with our clients obviously side-by-side on this commitment. Finally, slide 17 on our long-term targets announced in the Investors Day save -- we can just save time here. I will not go into each one of them, but I can say that we are on the right path to achieve them all as you can clearly see on this slide. And now for the business areas, Rafa?
Rafael Salinas: Thank you, Onur and good morning everyone. As anticipated by Onur, we are very happy to share with you another excellent quarterly results in all geographies supported by a very sound operating trends across the board. During the third quarter, we continued to deploy our strategy based on customer acquisition, strengthening our business relationship with them and gaining market share in the most profitable segments. And as we will see, hereafter we have further delivered on this front. Going to Page 20, let's begin with Spain. In Spain, we continue to see very robust business trends. As Onur said, the loan book growth is accelerating to almost 5% year-on-year. Within our risk appetite, we continue to focus on the more profitable segments. As such consumer loans are increasing by 8%, while leading to -- while lending to mid-sized companies' growth at double-digit close to 14%. In addition to some activity trends, I would like to highlight a strong trade provision profit evolution reaching double-digit growth to 10.2% year-on-year mainly driven by very solid dynamics on the NII. Despite lower contribution from TLTRO of minus €30 million in the quarter, NII grows by 3% quarter-on-quarter levered on activity and on improved customer spread of 1.85% increasing by 14 basis points versus previous quarters. As we anticipated, we have started to see the positive support from rates on the NII so we can reaffirm our guidance for NII to grow around mid single-digit in 2022. This trend should accelerate into Q4 and furtherly in 2023, as the loan portfolio continues repricing leading us to expect NII to grow at high-teens next year. Second, sound fee income explained by positive activity trend mainly in credit cards, payment services and insurance business. And lastly, thanks to our cost control efforts, expenses continued to decline by minus 4.3% year-on-year. All-in, resulting in an outstanding 46.4% cost-to-income ratio, improving by 350 basis points year-on-year. Finally on asset quality, sound underlying trends remain lower NPL entries and higher recoveries lead to a further improvement in the NPL ratio and coverage ratios in the quarter. All in, very strong results and good prospect ahead. Slide 21, Mexico. In Mexico, once again, we are delivering an outstanding set of results. We continue to see strong activity dynamics mostly based on growing transactionality and higher working capital needs with balanced growth on retail and wholesale segments throughout the year. In retail, loan growth is biased to the most profitable segments, namely consumer and credit cards, growing at about 14% year-on-year and the wholesale loan portfolio growing above 15%. On the P&L, net profit reaches a new all-time record again above 1 billion figure, driven by a strong core revenue growth above 20% year-on-year. NII increased close to 24% on the year above loan growth due to increased customer spreads plus 57 basis points year-on-year, benefiting from higher yield on loans while the cost of deposits remained well contained below 2%. This positive trend is explained by our profitable deposit mix, a clear competitive advantage built on our payroll strategies and high market shares on transactionality. Based on these solid dynamics, we are expecting the NII to grow in 2022 at low 20s, clearly above the loan growth rate. Strong fee performance 17% year-on-year is based on higher volumes in credit cards, fees from mutual funds and investment banking activity. All in all, gross income growth continued doubling the increase in expenses, leading to wider net jaws and improving efficiency to an outstanding 31.9% cost-to-income ratio. The increase in cost is in line with inflation level but also related to the fact that we keep on investing in the country. Finally, we continue to see very good asset quality trends. Low NPL entries and sound recovery rates support the positive evolution of the NPL ratio. The cost of risk remained stable around 260 basis points and the coverage ratio increases above 130%. Slide 22, regarding Turkey. Net profit improved in the quarter to €318 million, mainly driven by an increase in – by an increasing trend in gross income. In terms of activity, TL loan evolution is relatively contained growing below the annual inflation rate and foreign currency loans decreased 12.8% in line with our strategy to reduce the exposure in that segment. Moving to the P&L. NII growth is driven by activity in TL and higher customer spread supported by disciplined pricing policies. Fees evolution is mainly supported by positive trends in payment services and brokerage activities, while the net trading income remained at a high levels in the quarter favored by derivatives trading and FX activity. And finally the loss coming from the net monetary position declines as the quarterly inflation continued to trend down. On asset quality, the NPL ratio reduction is supported by good underlying trends, strong recoveries, mainly in the wholesale segments and low NPL entries. The cost of risk remained contained at around 90 basis points year-to-date and we'll continue provisioning the most FX-sensitive exposure to increase the coverage levels to 86%. All in all, guarantee contribution as of September has been higher than expected, driven by good underlying business trends and a better-than-expected FX evolution. Final earning contribution in 2022 will be dependent on inflation and FX evolution in a highly uncertain environment. On Slide 22, South America, the region maintained a solid performance in terms of revenues. Solid NII in the context of higher rates and activity growth biased to the most profitable segment like consumer and credit cards and some fees supported by activity dynamism across the board positive jaws despite the inflationary pressures, and efficiency continues improving. Sound risk indicators in the region NPL and coverage remained stable in the quarter, with cost of risk remaining at low levels around 140 basis points. All in net profit in the region exceeds €600 million in the first nine months of the year, doubling last year results. And now back to Onur that is going to highlight the main takeaways.
Onur Genc: Thank you. Thank you, Rafa. So in summary takeaways, the group's results they continue showing in our view the positive trend over the recent quarters. One more quarter, we have reported in our view again very strong results. Second, excellent core revenue evolution mainly driven by the strong activity and the customer spreads. We continue with one of the highest profitability metrics of our European peers 15.7%, again RoTE. Third, we have made significant progress in the execution of our strategy, reaching record figures in digitalization, customer acquisition, and sustainability. And lastly, we are on track to achieve our ambitious long-term goals as you have seen in one of the pages that we have shared with you. And now back to Patricia for the Q&A. We are a very metric and KPI-oriented bank we had this goal of finishing our presentation in 25 minutes. We have saved four minutes, even delivered that one in this quarter, Rafa. So Patricia questions.
Patricia Bueno: Okay. Thank you, Onur. We are now ready to start with the Q&A. So first question, please.
Operator: Thank you. [Operator Instructions] Our first question comes from Ignacio Ulargui from BNP Paribas. Your line is open.
Ignacio Ulargui: Thanks very much. Thanks for taking my questions. I just have two questions. One on Mexico and the outlook for lending growth and the strategy of the bank that I mean, we are – I'm personally being surprised quarter after quarter, with the performance of the bank. I just wanted to get a bit of sense of what will be the ceiling of the bank, in terms of profitability and NII growth. The second question is regarding the TLTRO I. Following announcement from the ECB yesterday, what would be the strategy that you have for the TLTRO? And what could be the implications of that into the NII? And whether the high-teens by the – there is a high guidance but the high-teens growth in NII for 2023 includes – already assumes a full repayment of the TLTRO? Thank you.
Onur Genc: Very good. Thank you, Ignacio, for the two questions. Mexico, we keep saying it with full confidence and then you sometimes question us on this, but we do have a wonderful franchise in Mexico. Very simple and given also the low bankarization in the country. Again, I will repeat, this in one quarter to another, but the banking sector loans divided by GDP is 38% in Mexico 38%. That is – that same number is like 55% in Colombia. It's 70% in Brazil. It's 120% in Chile. So the bankarization level in Mexico being so low, in the last 15 years, if you take the last 15 years the growth in the Mexican economy is actually lower than 2%. But we have very comfortably in the last 15 years on average grew 8.5% year-over-year CAGR. So given the bankerization level the potential to grow healthily in our view is there. And then regarding our franchise as we said we have a wonderful franchise. We keep gaining market share. So you asked about the third quarter. The third quarter new loan production Ignacio is actually higher than the second quarter. So the trend is still there. And you have seen also our NPL numbers, the NPL numbers are actually coming down, and the cost of risk is stable. To cut the long story short, I do think that given the fact that, there is room in the country to grow healthily given the very low leverage levels in the country and it's the same for household debt over GDP corporate debt over GDP you have room and given the fact that we do have a wonderful franchise who keep gaining market share. We again gained close to 50 basis points year-over-year and year-to-date this number 50 basis points market share again this year. I do think that the trend is there. So the positive trend will continue in the coming quarters. Obviously, we have to watch the environment very carefully. Obviously, this is a cycle. We are very much aware of this. This bank is very experienced in this. But it's all positive what we see in terms of the dynamics of the loan growth. TLTRO basically 2023 versus 2022, the implication was after the tiering was abolished the impact year-over-year 2022 -- 2023 was around €70 million. And now with this new change that they have done yesterday starting November 23 as you all know, they will basically be applying a different formula. The impact on that 2023 versus 2022 would be an impact of €170 million for us. So the total combined the full change of the different conditions in July and now in November is going to be €240 million. With these numbers in mind we still stick to our high teens guidance that we are giving for the next year. This was kind of expected. When we were guiding you on this we were already incorporating this into the numbers. So high-teens already incorporates that. Regarding our strategy you also asked about our strategy regarding TLTRO. Obviously it came out yesterday we are still analyzing it and so on. But it basically became economically neutral. So it helps on the LCR and the liquidity ratios, but we don't have the need for liquidity in any case. So we are neutral on this topic. We might actually keep it until the mandatory payment periods. As you know we are going to be paying €7 billion in December another €7 billion in March, €21 billion in June. We might stick to those deadlines just because it's good to have that liquidity and it helps in the ratios and so on but it's economically neutral. We can also pay it back. So it's a decision of the coming weeks for us. Anything else you want to add on TLTRO Rafa? 
Rafael Salinas: No. 
Onur Genc: No. Okay. 
Patricia Bueno: Thank you, Onur. Next question, please.
Operator: We now turn to Alvaro Serrano from Morgan Stanley. Your line is open. 
Alvaro Serrano: Hi. Thanks. It's really two follow-ups on the previous questions. In terms of the high-teens NII guidance for next year considering your sensitivity was -- I think it was 15% to 20% for 100 basis points and we've now seen 200 basis points rate hike it -- that seems I mean it's a good number, but it doesn't it looks like it could be higher. I don't know if you can maybe sort of walk us through some of the assumptions in that number. And the second question is on Mexico. Again similarly I think you've said low-20s growth. But if I just take your Q3 number and assume flat in Q4 I get to 24% year-on-year growth. So -- and -- but Onur I think you just said there's more to go in Mexico. So just trying to assess how conservative you're being in both Spain and Mexico? Thanks.
Onur Genc: You said at the end that you just wanted to understand how conservative we are with our goals and so on or our guidance, maybe we are a bit on the conservative side. This is a kind of a feedback for ourselves. But when we put the number on the table we deliver. In that sense, we might have an upside on the numbers that you have talked about the high teens. The 200 basis points impact and so on yes, it is true. But we also embedded into that number into that high-teens a number which we think is rather conservative in the underlying assumption of by the end of 2023 this number assumes that 35% of the demand deposits would move through time deposits and the deposit beta of 75%. Which again is in our view a rather conservative assumption, but we would rather deliver what we say which we have been doing than misguide you on some of the key numbers. So there might be a bit of an upside in both numbers. And in the case of Mexico as I -- again in the first question I already gave you all the great news about Mexico. But we are going into a cycle and we have to see that. So we want to be a bit conservative on the guidance that we are giving to you. We are not giving yet the guidance for 2023. These two numbers are so important so we talked about them. But the real guidance numbers that we'll give to you will be obviously as we always do in the next quarter. We will guide you about 2023. So we might give you an even higher numbers given the confidence level that we would be having regarding the economic environment more than anything else. To cut a long story short so maybe there is an upside in the numbers that you have seen. But we are --we want to be confident in whatever we tell you and then we deliver them. 
Patricia Bueno: Thank you, Onur. Next question, please.
Operator: Our next question comes from Sofie Peterzens from JPMorgan. Your line is open.
Sofie Peterzens: Yes. Hi. Here is Sofie from JPMorgan. Sorry for going back to the same NII question in Spain. But you now guide for around 15% higher net interest income in Spain versus 15% to 20% previously. Can you just discuss a little bit why slightly lower net interest income growth guidance from higher rates? And then the second question would be, if you could just remind us of your capital headwinds and when you expect these headwinds to come? And, clearly, also, if you have any tailwinds that we should be aware of. Thank you.
Onur Genc: Second question was capital headwinds from supervisory.
Patricia Bueno: Headwinds, yes.
Onur Genc: On the supervisory?
Patricia Bueno: Yes.
Onur Genc: Okay. On the first question, interest rate guidance, no we actually stick to what we have been saying. But as you all know, you might be referring to what we put into the presentation as well. Until this quarter, we were saying 15% to 20% increase in NII with a step function change of 100 basis points in the interest rates. Obviously, some of that change has happened, meaning the first 200 has come. In that sense the next 100 would be a bit less than the first 200. That's the only reason behind the change, nothing more. Because with the rates rising that deposit beta and the movement of the deposits to time deposits assumptions that you would have would be adjusting itself with the higher levels. If it's much higher levels obviously there is a higher trend of that flow. We don't see that flow at all today, let's be very fair. I mean, there is a lot of liquidity in the system. And I think, given the profitability of the Spanish banking system, there's proper competitive dynamics regarding that line. In that sense, we don't see the pressure at all. But the next 100, obviously, will come with an assumption of a higher deposit beta or a higher flow from demand to time deposits. That's the only reason. There is no other thing I saw -- I mean, before coming to this call, I saw some analyst reports, some of you were writing that, why did they change 15% 20% to 15%, just because some of the change has happened. And the next 100 is going to come a bit, again, with a different set of assumptions, nothing more than that. We are very rate sensitive. We are very rate sensitive in Spain and we will benefit from that. I also saw in some of the analyst reports that the number of this quarter could have been better and so on. On that one, very clear, our customer spread is improving as compared to competitors, because some of you were comparing them. As compared to competitors, our spread is improving even better. In the ALCO NII and ALCO portfolios, we have seen some increase in the ALCO portfolios of our competitors. As you see in the backup of our presentation that we are still holding up on the growth of the ALCO book. So that might be the co-op or ALCO is the only difference between the different banks in our view. But our sensitivity is very high. It takes a bit of time as you know. Because, again, two-thirds of our portfolio is being repriced every six months and one-third every year and it takes the EURIBOR of two months ago. So there is that delay as well. When you do the repricing today, it takes the EURIBOR of two months ago. So there is more to come. And our sensitivity change has nothing to do, but the next 100 basis points is going to come with lower sensitivity. Capital headwinds, we have updated you on this in the past quarters. We originally started with around 35, then we said slightly above 35. In the last quarter, we said the supervisory impact on capital would be lower than 35 and we stick to that guidance. It's not finalized yet. We are expecting -- because it -- internal models investigation and so on, as you know, they call IMIs in the supervisory framework. There is a lot of dialogue with the supervisor on this. It has been a very exhaustive work. And as such, it has taken some time. Fourth quarter, maybe in the first quarter it can be even delayed, the first quarter, but our base case expectation is that, we will receive that impact in the fourth quarter this year and it will be less than 35 basis points that we have been sharing with you in the last quarterly call.
Patricia Bueno: Thank you, Onur. Next question, please.
Operator: We turn to Maks Mishyn from JB Capital. Your line is open.
Maks Mishyn: Hi. Good morning. Thanks for the presentation and taking my questions. I have two on loan book growth in Spain. The first one is, you continue to grow strongly in corporate loans, so I was wondering what's the key drivers, is it working capital or investment loans? And the second on is on mortgages. Your loan book is shrinking, while the sector is growing. I was wondering if you could tell us why are you deleveraging in mortgages. Thank you. 
Onur Genc: Very, good. Great questions, Maks. The first one, its mainly working capital loans given inflation. Our corporate lending clients, they have been asking for more working capital needs and we are supporting them. But we are also gaining market share. We also put a lot of focus into the segment this year and we are clearly gaining market share in that book. So, it's both of them a much higher commercial focus, and also the working capital needs of our clients.  Regarding mortgage, you are right, we are deleveraging or we are shrinking. We lost market share in mortgages. It was very intentional. In our new production market share, because you can measure that it's publicly available in Spain, new production market share have gone down to 7.5% in August in July, in those timeframes. 7.5%. Our stock market share is 14% 14% plus. So, we were generating much lower new flow than our typical market share. Why? Because of pricing. At those timeframes, the industry has given fixed loans of 30 years in our view at much lower rates, than what it should be. It was not properly reflecting our risk appetite on that active portfolio. So we said, we will stay out of the market. That's the only reason, nothing more than that. 
Patricia Bueno: Thank you. Maks. Next question, please.
Operator: Our next question comes from Carlos Cobo from Societe General. Your line is open. 
Carlos Cobo: Hi. Good morning. And thank you for taking our questions. I have a couple and then just a quick clarification if you could. NII in Mexico, it's just remembering the times when rates were falling and it wasn't you, in the management team. But I remember, the bank was discussing a more resilient customer spread to falling interest rates, and now we are seeing kind of the opposite. So I'm just wondering and trying to get reassurance, on whether the net interest margin is going to be sustainable from here, or do you expect some catch-up in the cost of funding, going forward?  And the second one, it's about the TLTRO III. Could you please confirm, what would have been the net interest income? So first of all can you confirm, that the accounting method has booked TLTRO III, with expected cost into maturity and that is a more prudent approach than peers? And what would have been the NII rate number or growth in the quarter, if you would apply the approach of all their Spanish peers, if my understanding is correct? And lastly, it's a quick one about capital. You seem to have taken a tighter control on capital. Market volatility quarters, are not affecting the capital ratio that much. I'm just wondering, if you've changed anything in terms of risk management or exposures that we should take into account going forward. Or there's nothing to highlight. Thank you.
Onur Genc: Thank you, Carlos. Rafa maybe you take the TLTRO question. Maybe, I'll start with the NII question in Mexico. We have been very clear on this from the first day. We said, there's a -- we put it at 3.8%, NII sensitivity to 100 basis points increase in the rates. This 100 basis points in these sensitivities, it includes the same step function change in the two currencies that's relevant for Mexico. It's mainly Mexican peso, our balance sheet but there is a piece also in dollars. So 100 basis points in both, delivers you 3.8% in NII. And that's the numbers that you see. That is more or less Carlos, more or less symmetric at the moment. With regards to minus 100 basis points, if I'm not mistaken it gives you minus 3%. Not minus 3.8%, but minus 3.1% minus 3.2%. But when we feel that the rate curve is going to be changing position, we will basically adjust that sensitivity. We will work and we will manage that sensitivity. But as it stands, those are the sensitivities. 100 basis points plus, gives you 3.8%. 100 basis points minus, gives you minus 3.1%. So, that's the numbers that you are looking into and that's the numbers that you are seeing. TLTRO? 
Rafael Salinas: Yes. On TLTRO, I mean the two questions. First as Onur said in a previous answer, the impact of TLTRO or the expected impact in 2022, at the end of the day the contribution is €170 million. So, at the end of the day in the comparison between 2023 and 2022 that's going to be the difference. On top of that we have the tiering that has contributed another €70 million in Spain. So, at the end of the day the combination of TLTRO III plus the tiering, the contribution in 2022 is going to be around €240 million. And about the accounting criteria, as you said, I mean we have been using the more prudent approach and therefore accruing that contribution at the lower rates. So, at the end of the day, we have been using the more prudent approach. 
Onur Genc: Perfect. And on the capital, Carlos, nothing changes in terms of the approach to it. The market impact is obviously there, but you should also acknowledge the fact that the results are there. So, the capital evolution is better than otherwise when we would be facing the market impacts that we are facing and that are completely in the numbers. We are delivering very good results. I mean on BBVA, if you look into past 10 years, we delivered €4 billion to €5 billion every year. €4 billion to €5 billion every year full year. In very good years, we do close to €5 billion. In not so good years, we do close to €4 billion. We are in the nine months. In September, we have three months to go and we have very good prospects for the last quarter. We are already at €5 billion and that obviously feeds into the capital figures. It's organic capital generation helping us to counter the market impacts and everything else. And those market impacts in our capital evolution the key hit this year is coming from the capital impact -- from the market impact, but those market impacts are going to be helping us in the coming quarters and years. If mark-to-market of the Held to Collect and Sell of the Spanish sovereign is being hit, we will be investing in some of those securities and the rates are going up which we will be benefiting from. If foreign exchange because of dollar, we are losing some capital because of the market impact, it's because we have a FX book in Mexico, in Peru, in Turkey and we are going to be making money from that appreciation. It's basically this RWA is going up because of the currency. We will be recovering with more revenues because of the currency in the coming quarters. To cut long story short, again, market impact has been big, but you should look into the results, which is really exceptional in my view that is countering and delivering even more.
Patricia Bueno: Thank you, Carlos. Next question please.
Operator: We turn to Pamela Zuluaga from Credit Suisse. Your line is open.
Pamela Zuluaga: Hello, good morning. Thank you for taking my questions. I have two and if I may one follow-up. The first one is on your profitability goals. You have already achieved an ROTE of 15.7% this quarter. And as you were mentioning, you still have the bulk of the rate hike benefit in Spain coming as a strong catalyst for further topline growth. So, are you willing to review your profitability targets, or is there a particular headwind that you're worried about and therefore maintaining your 15% ROTE goal? The second one is can you give us some color on where the overlay is? Other peers have said that they intend to continue building further overlay provisions in Q4? Should we also expect such a pickup? And then the final one is a follow-up on Mexico. When we look at what has happened to the liability side of the Mexican balance sheet, we know that time deposits are growing very close -- at a very close rate to demand deposits. So, are you may be worried about rates being high enough now to encourage more and more demand for expensive deposit funding? So, could we maybe see a deceleration in the NII growth moving forward for that country? Thank you.
Onur Genc: Rafa do you want to take the first one? You want to change the profitability target of the bank? 
Rafael Salinas: I will do it internally. I mean and it will already -- on public -- to the market. 
Onur Genc: No, I mean Pamela on the first question, yes, we did announce 14% and when we put the 14%, it was a very good goal and we are doing so well that we are over that. But you should know that this is the best ROE in the whole of Europe in the context of the largest 15 European banks. We are either number one or number two. The number one in the second quarter has announced this week and we are beating them now. So, we are most likely to be number one. So this is a very good number to start with. And it's better than the goal, yes, but it's a very good number. In that sense, we have announced our goals a year ago. I'm changing the goal every year, we don't like that, but we will review the goals at the end of the year and see. But 15.7% is -- just because it's so good we don't change the targets continuously because we delivered a certain commitment to the market and we will deliver those commitments.  Provisions do we expect a one-off or something big in the fourth quarter? No. The only thing is, we do these model adjustments as you all know every quarter which is looking into the macro developments and the growth rate expectations and so on and other parameters. Many macro parameters are involved in that which is basically front loading the potential future losses into the numbers today which is this IFRS 9 as you all know and we already have been doing it. So if there is a sudden change or a very negative evolution and change in the macro parameters obviously it will be reflected into the macro modeling. But in the absence of that, if it's not going to be any much more different from where we are today, obviously it's all in the numbers.  So, we don't expect a major one-off or this and that as you were asking. NII in Mexico we are very confident on this. It was already asked. But again, I would repeat it but I think it's important we do have a wonderful franchise, 85% of our deposit is demand deposits. Our cost of funding difference with the rest of the banking sector is 100 basis points -- 100 basis points.  So having a cost of funding advantage in a consistent and meaningful way, only points out in my view to a competitive advantage. In that sense, we have already seen 9.25% is now the Mexican rate. We have already seen much higher rates than what we are used to. And so far, we have contained that because of that competitive strength that we have. So going forward 9.25%, will it increase? It will increase. We are now expecting 10.5% or so at the end of the year, so more rates to come but we have already seen a major increase.  When we started the year if I'm not mistaken, it was 5.5% the rates. So despite the heavy increase in the rates, we have contained the cost of funding given our competitive strength because we are a transactional, we are in the cash flow of the Mexican enterprises and cash flow of Mexican households. I did again mention this in the previous calls 40% of the payrolls of Mexico 40%, 4-0 in terms of value not in terms of number of salary employees, but number of -- the volume of salaries 40% market share we have in Mexico.  So it's transactional. It's cash flow. We are providing services technology to those cash flow seeking customers. In that sense I'm confident that the NII in Mexico is there to stay.
Patricia Bueno: Thank you, Pamela. Next question, please.
Operator: We turn to Andrea Filtri from Mediobanca. 
Andrea Filtri: I'm just trying to extrapolate a bit better what your assumptions are within your NII guidance, could you please elaborate on the assumptions you're making on the evolution of the deposit beta in your guidance? I understood you're setting it at 75%. But wanting to understand at what level and how the transition to 75% is? And what is the assumed ALCO size and contribution within your guidance?  The second question is on fees. If you could give us your outlook for Q4 Spanish fees. And what performance fees did you book in Q4, 2021? And finally, if you could please repeat your guidance on Mexican NII? Thank you.
Onur Genc: Okay, Andrea thank you for the questions. Do you want to -- because I gave some numbers maybe we can give you a better numbers. Rafa, do you want to take the NII guidance of the deposit beta and what percent moves and so on can you do that? 
Rafael Salinas: Okay. I mean the underlying assumption, I think we have now in Spain at the end of the day there is going to be between 30% and 40% of the demand deposits to moved to time deposits and in that movement a 75% pass-through of the interest rate increase, those are the assumption on the sensitivities or NII sensitivities in Spain. And as previously mentioned Onur, I think clearly as we see their rates moving up the sensitivity decreased by -- mainly because of the base effect and the convexity on the portfolios. So at the end of the day, we are expecting now to be -- our sensitivity overall to be around 15%.
Onur Genc: Very good. Regarding the assumed ALCO size in these numbers for -- again it's in the backup of the presentation that we shared with all of you. But we have an ALCO book of €30 billion in the euro balance sheet. You're asking Spain, so I'm focusing only on the euro, around €30 billion 29-point-something. €30 billion plus we have €10 billion of what we call HQLA, high-quality liquid assets. That HQLA book of €10 billion has a duration of 0.6 years. So in the next year, we will basically get it all. With that additional €10 billion, we have -- we are obviously considering to increase our ALCO book. As I mentioned at the beginning of the call, unlike some of our competitors, we have not increased our ALCO book although we can, we have not because we wanted to see how the markets evolve until we take decisions. In the numbers that you have seen in the high-teens, we are not increasing our ALCO book in a dramatic way in a very limited way. Depending on the markets -- there is an upside here, depending on the market, we can increase our ALCO book. And if we do increase our ALCO book, there's going to be an upside on the numbers that we have shared with you. But it depends on the markets and we don't want to be committing ourselves yet to the growth of the ALCO book fully. The Spanish fee income the success fees that we have in the number is basically very marginal this year. As compared to last year this year, given the markets the success fee number, is very limited.
Patricia Bueno: Okay. Thank you. Thank you, Andrea. Next question please.
Operator: Our next question comes from Ignacio Cerezo from UBS. Your line is open.
Ignacio Cerezo: Yes. Hi, good morning, and thank you for the presentation. Two for me. One on funding. Again, in Spain, more from a behavioral point of view, commercial point of view on your side, loan-to-deposit ratio is 85% so quite comfortable. How are you approaching basically deposit volumes in coming quarters? I mean are you ready to lose the part of the process, which is more competitive on pricing, or you prioritize liquidity over NII? I mean how do you actually tally and reconcile both issues? And then the second one is on capital, on the dividend in particular. I mean you're accruing 50%, which is a high end of the range. Your capital has been improving. The regulatory headwinds are not being increased. How do we need to think about actually a dividend into this year? And is there any possibility actually of an increase in coming years? Thank you.
Onur Genc: Okay. Ignacio, thank you for the questions. First of all, precisely what you are asking is, what we have been trying to optimize. We don't want to have that trade off between liquidity and NII. That is why, again, we wanted to keep these buffers that we had. And so, we have a collateral base by the way of €110 billion now that we can use, if you want obviously, to fund ourselves and so on. To cut the long story short, again, I use this word very -- I want to go to the grain of the whole matter. We are so comfortable in liquidity at the moment that we would be okay to lose deposits and we would optimize between the two. But given where we are, I do think that the deposit betas, that we have shared with you during this call is quite conservative. We are -- given also the competitive situation, we do see that those deposit betas would be less than what we are putting into our models. And as BBVA, we don't see any pressure on ourselves to increase the deposit pricing. Dividends, we already raised that. As you know, Ignacio, it used to be 35%, 40%. We raised it last year in November to 40% to 50%. Given the rules of accounting, we have to accrue at 50%. The final decision of this obviously rests with the Board. The Board will decide on this after the results come out for the full year and we'll go. But as you also know, we shared in the Investor Day that we don't like to operate with buffers on capital and this and that. Our goal is 11.5% to 12%. If we end up with a higher capital figure above that 12% sizable amount and so on, obviously, during the planning period, we will look for ways to create value for that capital. And if we cannot find that, we will distribute more to our shareholders as we have done. We have just finished, relatively speaking, one of the largest share buyback programs of Europe. And we are not afraid to do more, obviously depending on the capital.
Patricia Bueno: Thank you, Ignacio. Next question please.
Operator: We turn to Britta Schmidt from Autonomous Research. Your line is open.
Britta Schmidt: Yes. Hi, there. Thank you. I've got a question on your LCR ratio. Post-TLTRO, what sort of buffer of 100% do you think would be adequate or are you managing towards? And then also on the overlays on IFRS 9, maybe you can give us a bit of an update where your overlay stand right now? And lastly, a clarification on fees. What was the impact of the removal of the excess liquidity fee in Spain in the quarter? Thank you.
Onur Genc: You want to take the LCR question?
Rafael Salinas: Okay. Britta, at the end of the day today, I think we have an LCR at the group level of 166%, but in the euro balance sheet close to 200%. So at the end of the day, you can imagine this is well-above what is our maximum risk appetite on that. But clearly, I think we should aim towards here probably closer to 150%. Having said that, I think given the fact that the new condition of TLTRO are economically neutral, I think we will try to see how we just move to that target. And we'll consider that the current strategy just to attend the contractual maturities can be a good pace for that reduction. But clearly, clearly the situation today is of very high liquidity, especially on the euro balance sheet and will continue to be the case in a near future.
Onur Genc: Britta, regarding the overlays that you asked I mean there's this new terminology sinking in, in the European banking sector overlays, but we really don't know what the definition of the overlay is. But in terms of the IFRS 9, you obviously have the business as usual. I mean, your customers they flow a certain delinquency path. And depending on the delinquency, you take provisions it's very clear and so on. Then you do these models. Models are basically again looking into the future and forecasting what might happen and taking that to today, which is what we call the micro models, the full modeling around the credit risk. And then there is this third component, which we called post-model adjustments, which is your models might not be capturing some certain specificities in the market or in the future. So you basically take this post-model adjustment. Then you ask overlay, I really don't know, which one you are asking. But in terms of the post-model adjustment, since COVID we have done on top of the models what they were telling us, we have taken close to €1 billion of overlays if that's the word to use, again post-model adjustments. But that €1 billion to be precise, it's actually €953 million. That €953 million, €715 million of that we already allocated to very specific portfolios, which we think that they might be facing some issues in the future. They might not, but they might, and in that sense that €715 million is allocated to specific carved out portfolios. There is another €238 million of what we call non-allocated post-model adjustments, making up -- and this unallocated is basically more for prudential reasons. And that number combined is again €953 million is the post-model adjustments that's still standing here since the COVID timeframe. Then the macro adjustments, since we have done since the beginning of COVID is around €300 million also. So there is also that additional piece making the total €1.3 billion. So depending on what you call overlay, because there is not a definition on this, you can pick any piece of the numbers that I give to you. But we are already well-covered in our view. Again we haven't discussed it a lot in the questions, but the best -- one of the best news of the quarter is that our NPLs are coming down in every single geography and our coverage is going up. So we are very well covered. Given also the numbers that I have given to you, we feel quite comfortable in terms of the asset quality trends. The liquidity fee, if you are referring to the charges that we were doing to our clients, it was quarterly €26 million, €26 million. This quarter, obviously, we stopped charging that as of August. So the €26 million has become €10 million, and going forward that €26 million will not exist basically.
Patricia Bueno: Thank you, Britta. Next question, please.
Operator: We turn to Marta Sanchez Romero from Citi. Your line is open.
Marta Sanchez Romero: Good morning. Thank you very much. I've got three follow-ups please. The first one is on the theoretic size of the ALCO portfolio in Spain given your equity position there and your current accounts and deposits generally. So if we could get some soft indication of what this theoretic size of the ALCO portfolio could be? The second question is that since you've already broken with your tradition of not providing guidance for 2023 with the NII in Spain, can we get from you some soft indication as well of the loan growth we could expect in Mexico? Is the 15% that we are seeing this year sustainable? And then there's a third one on your U.S. dollar position and how it hits your capital. Have you considered -- it has actually increased, I guess it's the size of the books. So it's now 19 basis points or 10%. Have you considered changing your hedging strategy there to isolate the dollar impact? Thank you.
Onur Genc: Very good. Maybe on the U.S. dollar hedging Rafa you take it. On the ALCO portfolio, Marta it really depends on, how the few next months and quarters come along. So I hope you have the conviction that we are very conservative -- relatively conservative and prudential Bank in managing our liquidity and managing our capital and so on. In that sense, we don't want to give you a number, but we do want to give you the sense that our ALCO book can clearly increase. And again, we have not done that, because we want to see how the markets again develop. We want to be patient on this topic. But the ALCO book can increase. I did also mention in one of the previous questions that our HQLA book is €10 billion. That €10 billion again, will be expiring in the next -- mostly in the next six months. So that additional liquidity will come along. A piece of that is very likely to go to the ALCO book, because we have all the liquidity that you can in any case to pay back all the TLTRO and so on. In that sense, our ALCO book would increase, but let me not give you a precise size, because it all depends on how the situation evolves in the coming months and quarters. Soft indication for Mexico, that's a very nice way of asking for a guidance, but allow us to delay this to the next one. The only thing I would repeat Marta is that -- I mentioned it in one of the previous questions also, we are very positive on the loan growth in Mexico for the two reasons that I would repeat which is, there is room. There is room for leverage in the country. Once again the banking sector's debt over GDP is clearly one of the lowest in all of the emerging markets landscape. In the old -- if you look into past 15 years, I will repeat that number again, even in the recessionary periods, we have seen very healthy growth in loans because of that leverage environment. So the average GDP growth over the last 15 years is 1.67%. And we have grown 8.5% in CAGR, every year, in loans. So, the dynamics are clearly positive. And we are gaining market share. We have a competitive discontinuity also in the market. As such, we are gaining market share. So I'm quite positive, but allow us to give you the number next time. On the U.S. dollar hedging, Rafa?
Rafael Salinas: On the U.S. dollar hedging, I think, two points to mention, Marta. The first one at the end of the day this short position of this negative sensitivity to dollar in the capital at the end of the day have a natural hedge. It's that the returns that we are getting on assets that are in hard currency are in dollars. So at the end of the day, there is a natural hedging on the flow of income coming in hard currency in those dollars that's creating that sensitivity. And the second, of course, we manage that position. The only difference compared with other FX hedging that we do is that all the hedging that we do on the U.S. dollar clearly go through the P&L. no direct related capital, so creating a kind of asymmetry. But we have been more active. And clearly we have been decreasing our sensitivities. Overall, in more than, I think more than 25% during all this year.
Patricia Bueno: Thank you, Marta. Next question please.
Operator: We turn to Carlos Peixoto from CaixaBank. Your line is open.
Carlos Peixoto: Hi. Good morning. Carlos from CaixaBank. So, a couple of questions from my side as well, perhaps moving a bit down in the P&L I was wondering if you could give us a bit some feedback around, how we expect possibly to evolve from here and look in the fourth quarter and perhaps into next year as well. And then, I will take up a bit on previous questions, because I didn't really understood that to the extent you see the likelihood of provision overlays in some of the geographies in the fourth quarter or not. And then secondly, second question would be whether you could update us on the -- in Turkey the currency swaps with the central bank what is currently the amount of the exposure there? Thank you very much.
Onur Genc: I couldn't get the first question P&L evolution? P&L evolution, I understand. Let me answer it in that way. And if it's not your question please, let us know Carlos. So P&L evolution for the coming quarters, again, we are seeing very positive dynamics. As you all know, in the second quarter and the fourth quarter of the year, we do register this deposit insurance fund contributions. So, regarding the seasonality, third quarter versus fourth quarter, there is that contribution that we would register -- actually we registered in the month of October. But beyond that seasonality, the dynamics are very positive. I see very positive dynamics again in net interest income. We finally started repricing in Spain. In Mexico, the spreads are -- they continue to improve. So, we are quite positive in the -- for the coming quarters, again, if the P&L evolution is what you were asking. We obviously don't provide a clear guidance on this is exactly the number, but the numbers are very positive, as far as we can see for the coming quarter and for the coming quarters. Turkey, the currency swaps, you are asking about the amount. I'm not sure we publicize it, but if not let's make it public now. It's around $5 billion -- $5.5 billion. $5.5 billion. It used to be a bit higher, $6 billion, $6.2 billion. Now, it's around $5.5 billion ranges.
Patricia Bueno: Okay. Thank you, Carlos. Next question please?
Operator: Our final question comes from Fernando Gil de Santivañes from Bestinver. Your line is open.
Fernando Gil de Santivañes: Hi. Thank you for taking my question. Just a quick follow-up on Mexico. Can you please comment a little bit on competition, trends and expectations? Now, that we see that Citibanamex process is almost close to an end and some competitors like Banorte and Santander have said, they are not continuing. I mean, you have gained market share this year and maybe some competitors probably coming to the market next year. Just a little bit of comment and clarification would be nice. Thank you.
Onur Genc: Very good. Thank you, Fernando. As you said, we have gained I mentioned it upfront 52 basis points year-to-date in the first nine months of the year. 52 basis points in market share. And when you look into the detail of this, we are growing very well in SMEs, 73 basis points. We are growing very nicely in what we call personal loans, 171 basis points. Overall again, mortgages 17 basis points increase or 52 basis points, across the board very positive. And this is not new. I mean, we have been gaining market share continuously in the last few years. So -- and when you look into the number of customers acquired, I gave you the full group number. 8.6 million, 3.7 million of that 8.6 million is coming from Mexico, so we are also growing the franchise. And we always break down this number into segments, so mass, mass affluent, SMEs, large SMEs, mid-corporate and so on. And we are gaining customers in every single segment. To cut a long story short, the competitive situation, obviously, might change, will change as it seems. But our franchise there is such a unique franchise, that our expectation is independent of the competition. We will continue to gain market share. And Fernando, we do have by far the best customer satisfaction in the country by far. On NPS, we have NPS readings in every single country. In the case of Mexico, the gap between us, which we are number one and the second is just -- is huge. We have the best brand power. We manage the -- we measure that with the power of our brand, how do society see the BBVA brand in Mexico. By far, by far with a huge gap number one. If you look into talent, we are the second most desired employer of the top universities of Mexico. We are the only bank in that top ranking, only bank. There are no other banks. It's not very easy to be in that list these days of most desired employer. So we have the best talent. We have an amazing franchise which is a client franchise, which is happy -- which is very happy to bank with you. I'm quite positive on Mexico as always. I really do think we have a wonderful jewel in -- as a franchise in Mexico. And I do think that, we will continue to gain market share independent of the competitive situation.
End of Q&A:
Patricia Bueno: So thank you, Fernando. This was the last question. So, we'll end it here. Thank you for all your questions and for your interest. And just let me remind you that, the entire IR team will be available to answer any questions you may have. And have a nice weekend. Thank you very much.